Operator: Greetings, and welcome to the NAPCO Security Technologies Fourth Quarter Fiscal 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Mr. Todd Fromer of KCSA. Thank you, Mr. Fromer. You may now begin.
Todd Fromer: Thank you. Good morning, and thank you all for joining us for today's conference call to discuss NAPCO's financial results for the three, and 12 months ended June 30, 2015. By now, all of you should have had the opportunity to review the press release discussing the results. If you have not, please contact KCSA Strategic Communications by phone at 212-682-6300, or by email at napco@kcsa.com, and we will send it to you. On the call today is Richard Soloway, President and Chairman of NAPCO Security Technologies; and Kevin Buchel, Senior VP of Operations and Finance. Before we being, let me take a moment to read the forward-looking statement. This conference call may contain forward-looking statements that involve numerous risks and uncertainties. Actual results, performance or achievements may differ materially from those anticipated in such forward-looking statements as a result of certain factors, including those set forth in the company's filings with the SEC. With that now out of the way, let me turn the call over to Richard Soloway, President and Chairman of NAPCO Security Technologies. Dick, the floor is yours.
Richard Soloway: Thanks, Todd. Good morning, everyone. Thank you for joining NAPCO's quarterly conference call to discuss the financial results for the three and 12-months, ending June 30, 2015. We're very pleased with the way we capped off the fiscal year 2015. As we've mentioned on previous calls, the prime selling season for the security business is spring and early summer, which coincides with our fiscal fourth quarter. This year has been no exception. Our business is firing on all cylinders, driven by broad-based increases across all divisions and key financial metrics. One metric that's particularly noteworthy is our gross margin, which for the fiscal fourth quarter increased 220 basis points to 40.7%, and I think it really demonstrates the hockey stick-like leverage in our business model. NAPCO is unique among the security manufacturers in that we own our own facilities. This offers two major advantages. First, keeping production in-house enables us to put in place strict quality control measures and ensure our products meet the highest standards in terms of dependability and performance. Second, it creates a fixed cost structure that results in a significant increase in gross margin, as revenues approach and exceed $20 million a quarter. In the fourth quarter, we exceeded that figure generating record net sales of 23 million. Looking ahead, we believe that the growing impact from our recurring revenue services will help us reduce seasonality and smooth out our top line numbers from quarter-to-quarter. Overall, as we continue to grow our top line and reduce seasonality in our business through our recurring revenue offerings, we believe we are well on our way to achieving our long-term goals, including further margin expansion, $100 million annual revenue run rate, and greater profitability. As I just touched on, one of NAPCO's major initiatives has been our focus on introducing and growing recurring revenue services. During the quarter, recurring revenue from our alarm division increased 40% year-over-year and 8% sequentially. Equally impressive, recurring revenue growth for fiscal 2015 was 53% versus the same period last year. The increase was driven by the sustained strength of our StarLink 3G/4G and Verizon CDMA alarm communicators. These products, which alarm dealers are in process of using to replace defunct 2G radios, as well as the communications link on new alarm installations are driving considerable growth in the subscription-based recurring monthly revenue for NAPCO. Additionally, we are currently in the process of launching a comprehensive line of commercial fire alarm communicators that use wireless radio signal. This introduction will further expand our market share and presence in the lucrative fire alarm communicator category. We expect this category to undergo significant growth as fire alarms that use traditional phone lines which are becoming more rare are replaced with fire alarms that make more use of advanced wireless communications to the central station. One of our other recurring revenue services, subscription-based iBridge Connected Home also continues to gain traction. iBridge Connected Home Products provide customers with a lifestyle management suite of services, enabling them to remotely control various subsystems in the home such as lighting, security, climate control, garage doors, video cameras, small appliances, and door locks. Our dealer network is embracing iBridge in increasing numbers, and taking advantage of our iBridge Connected Home Dealer Program. This program targets traditional residential alarm dealers looking to expand their offerings beyond installing security alarm. The program provides technical and sales training, customized sales materials, web page content, Internet advertising, and consumer leads. Moving away from recurring revenue products, our advanced wireless locking solution marketed by our Alarm Lock, Marks, and Continental divisions have shown particularly robust growth. These solutions offer a highly versatile, cost effective, and easy to install access control solution that can be used in a number of applications including healthcare, education, and government. End-users and developers can choose from two technologically advanced access control solutions depending on their requirement. The first, the Networx Wireless Locking System has a sturdier commercial grade appearance [ph]. The second, the ArchiTech Designer Wireless Access Control Platform is used when architecturally-aesthetic locking hardware is preferred. Other Locking success stories for the past year include the LocDown Intruder lock by Marks, which enables the teacher to lock his or her door safely from inside the classroom in the event of an active shooter incident. As well as the anti-ligature suicide prevention LifeSaver lock also by Marks for use in prisons and behavioral health setting. With all the positive momentum in our business, we believe our stock is undervalued, particularly when you look at the intrinsic value we have been creating. During the past fiscal year, we opportunistically bought back, as part of 1 million share buyback program that was enacted in September, 2014, as of June 30, 2015, we bought back 453,048 shares of our outstanding common stock at a weighted average price of 4.81 [ph] per share. As part of our normal course of operation, the management team and Board of NAPCO routinely evaluate the company's capital allocation strategy. At the current share price, we still believe that buying back stock is a prudent use of cash, but we are also exploring other value accretive ways of deploying our cash. With our business continuing to move in a positive direction, our net debt position is solid, and our CapEx spend stable, we are in pace to continue our trend of generating strong free cash flow. We have a sophisticated Board in place who are committed to putting the cash to use in a way that will provide the most value for shareholders. As we do, we'll be sure to keep the financial community updated. Overall, all the pieces are in place for NAPCO to start fiscal year 2016 on a strong note. As of June 30, 2015, our sales backlog increased 60%, to 2 million compared to 1.3 million during the same period one year ago. The increase was driven primarily by several large purchase orders from our Marks brand door locking products. We also continue to see strong interest for the number of our products, which should bode well as we progress throughout the year. With that said, I'd like to turn the call over to Kevin to review the quarterly results. Kevin?
Kevin Buchel: Thank you, Dick, and good morning everybody. Revenues for the three months, ended June 30, 2015, increased 7%, to a record 23 million, compared to 21.5 million in the same period a year ago. For the 12 months, revenues increased 5%, to a record 77.8 million, from 74.4 million for the same period one year ago. The increases in sales for the three and 12 months was due primarily to an increase in door locking, recurring revenue, and access control products. Gross profit for the three months, ended June 30, 2015, increased approximately 13%, to 9.3 million or 40.7% of sales, compared to 8.3 million or 38.5% of sales for the same period a year ago. Gross profit for the 12 months increased approximately 10%, to 26 million or 33.5% of sales, compared to 23.7 million or 31.9% of sales in the same period a year ago. The increase in gross profit for the three and 12 months was primarily due to increased sales, and a positive shift in product mix to higher margin product. This also demonstrates the impact of increased recurring revenue, as well as our overall efficiency as our sales volume increases. Selling, general, and administrative expenses for the quarter increased approximately 400,000 or 8%, to 5.9 million or 25.6% of sales, compared to 5.5 million or 25.3% of sales for the same period last year. Selling, general, and administrative expenses for the 12 months increased by 1.4 million or approximately 7%, to 20.8 million or 26.7% of sales, compared to 19.4 million or 26.1% of sales a year ago. The increase in selling, general, and administrative expenses for the three and 12 months is due primarily to the attrition of selling personnel, and increased media advertising, and tradeshow expenditures. Operating income for the quarter increased by approximately 600,000 or 23%, to 3.5 million, as compared to 2.8 million for the same period a year ago. Operating income for the 12 months increased approximately 1 million or 22%, to 5.3 million, from 4.3 million in the same period a year ago. Interest expense for the quarter decreased, by $2000 or 4%, to $54,000, as compared to $56,000 for the same period a year ago. Interest expense for the 12 months decreased by 80,000 or 27% to $215,000 as compared to $295,000 for the same period a year ago. The decrease in interest expense for the three and 12 months ended June 30, 2015, resulted from lower average outstanding debt and lower interest rates during the current period as compared to the same period a year ago. Net income increased by approximately $1 million or 43% to 3.3 million or $0.18 per diluted share, as compared to 2.3 million or $0.12 per diluted share for the same period a year ago. Net income for the 12 months increased by approximately 1.4 million or 39% to 4.8 million or $0.25 per diluted share compared to net income of 3.5 million or $0.18 per diluted share for the same period last year. Adjusted EBITDA for the quarter as per the schedule included in today's release increased approximately $500,000 or 16% to 3.9 million or $0.20 per diluted share as compared to 3.3 million or $0.17 per diluted share last year. Adjusted EBITDA for the 12 months increased approximately 800,000 or 13% to $7 million or $0.36 per diluted share as compared to 6.1 million or $0.32 per diluted share for the same period a year ago. At June 30, 2015, the company had 2.3 million in cash and cash equivalents compared to 2.5 million at June 30, 2014. The company also had working capital of 35.6 million at June 30, 2015, compared with working capital of 33.4 million at June 30, 2014. Paying down our debt and optimizing our cost of capital remains the top priority for NAPCO. Debt net of cash was 8.4 million at June 30, 2015, and debt net of cash has now been reduced by 27.5 million from 35.9 million since we acquired Marks in August of 2008, with 1.1 million of the reduction occurring in fiscal year 2015. That concludes my formal remarks, and I would now like to return the call back to Dick.
Richard Soloway: Okay, Kevin. Thank you. In conclusion, we're excited about growth trajectory as we look out to fiscal 2016 and beyond. The investments we've made in recurring revenue services and many higher margin products are bearing fruit, and our product lineup continues to be met with a positive reception from our customers, and 10,000 plus strong dealer network. Simultaneously, our commitment to doing what's in the best interest of our shareholders remains as strong as ever. Over the next several months we intend to increase our outreach to financer community crisscrossing the nation to conduct non-deal road shows and attend conferences. We are eager to share our story with new investors, [indiscernible] investors who heard our story before of our track record as one of the most dynamic and innovative security companies in the world. We firmly believe that our best years are still ahead of us. That concludes our formal remarks. Kevin and I would like to open the call for questions. Operator, please proceed.
Operator: [Operator Instructions] Our first question is from Kara Anderson of B. Riley. Please go ahead.
Kara Anderson: Hi, guys. Thank you for taking the questions. Just to start on net sales, was any increase in the quarter a result of a single large product -- project? A - Richard Soloway No, it was a blend of orders from all divisions.
Kara Anderson: And then beyond the leverage from the Dominican Republic facility and then the higher margin recurring revenue, was there any portion as sort of product mix that helped drive the 40 plus percent gross margin in the quarter? A - Kevin Buchel Kara, most of our sales now are higher margin side products. So when we sell school security products, as an example, whether it's the K-12 or universities, those are high margin products. If we sell the anti-ligature, anti-suicide lock, those are high margin products. A lot of the products that we've come out with in the last year or two are high GP products. So between that, the recurring revenues, the Dominican facility, you’ve got all three things leading to higher GP, and of course the volumes. The volume leverage is the big one, and all of it contributes.
Kara Anderson: Great, thanks. And then can you break out roughly the increase in SG&A that was due to the additional sales, and how much to advertising expenditure?
Kevin Buchel: Yes, we don't break that out. We just gave you the main categories. What we're doing is trying to spend more money to get that sales number up faster. So we're controlling how much we spend. But we added more personnel. We spent more on advertising, trade journals, tradeshows; it's all of the above, and it's going to help us get to where we want to go, to that $00 million goal, faster.
Kara Anderson: I guess…
Richard Soloway: Now that we have all these products and we are firing in all cylinders, and the different divisions are producing nice numbers, it's time to spend a little bit more money, and that's just the SG&A so that we can kind of get the word out and to do a lot of hand-to-hand combat in the field with advertising, marketing, and additional sales personnel. So we think it's a good expenditure of money.
Kara Anderson: Okay, so just to confirm, it sounds like you guys are going to continue at this same level of spending going forward.
Kevin Buchel: That's our outlook for now. But we'll see how it goes. We are analyzing this thing constantly. We see that when you spend a little, you get a nice benefits for it. So it's a balancing act that we want our earnings to be record breaking all the time.
Kara Anderson: Great. And then the last question is on the tax rate, kind of low in Q4, and for the year. Is the expectation still for 10% to 15% for full year going forward?
Kevin Buchel: It is. It jumps around. But in the end, usually, we wind up in the 10%-15% range for full year.
Kara Anderson: Okay, thank you.
Kevin Buchel: All right, Kara.
Operator: Thank you. The next question is from Pete Enderlin of MAZ Partners. Please go ahead.
Pete Enderlin: Thank you. Good morning.
Richard Soloway: Good morning.
Pete Enderlin: Approximately, what is your overall capacity utilization rate between the Dominican and the Long Island facilities?
Richard Soloway: The designs of the product, the inventory, and everything are here in Amityville, Long island, and the manufacturing is in the Dominican Republic, where we have 175,000 square feet factory where we can get all the labor we need. Right now, at our rate we can do a -- we believe that $100 million per shift is our capacity per shift. Of course, we can run two or three shifts because we can get all the labor we need. So we are not near capacity, and our CapEx is running 500,000 to 700,000 a year. We have lots of room to grow.
Peter Enderlin: Yes, Dick, you mentioned that you could use some of the cash position to try to increase return to shareholders. Besides the obvious things, is it possible that you could make acquisitions to increase the cap utilization of the facility?
Richard Soloway: It's possible if we can find the right acquisition that's priced right, has a line of equipment which our dealer base can sell to their end user customers, and that the management takes a payout rather than a lump sum. So if all those things are in place, there is a possibility. There aren't that many companies that are around that have products that we don't have, but there are a few different areas that we are not into. So we are looking at them right now actively.
Peter Enderlin: And so how narrowly would you define your product area. I mean, obviously there are lots of general electronics assembly-type products that you could buy. But you don't want to go off into a different field entirely.
Richard Soloway: We want to stay close to our field, which is electronic security in all those aspects. And with what's going on in the world today, more and more of this is going to be needed for protection of schools, the recurring revenue is a big part of it, using the radios. We are now going into this new fire radio business which is replacing copper dial-up line, which I think will use a lot more capacity. So we want to have controlled growth of products that our dealers can use.
Peter Enderlin: And if you got to something like 85% capacity utilization, based on some additional shift or shift-and-a-half or something like that. What kind of potential gross margins could we be talking about, recognizing that it's an assembly operation, and you source most of the components from outside?
Richard Soloway: Well, we manufacture a lot of components inside. The electronic microprocessors and the capacitors, resistors, and circuit boards we get on the outside. But most of the metal work, the packaging, the plastics, the decorating, and everything is done in-house full turnkey. We built the factory so we could do that.
Peter Enderlin: Okay, so I mean, syntactically, what kind of a gross margin could you approach under those possible scenarios?
Kevin Buchel: We said, we think that at $100 million, we could earn a dollar a share, along with $10 million worth of recurring revenue. So those are the points we're shooting for, out in the 17 year. So that's what we're trying for. Then we keep growing beyond that, and that's a 41% GP, and it could be high as you saw with the 23 million we did this quarter, we're almost there. So the GP seems to be exploding even beyond what we predicted. So it's a very good thing between recurring revenue, higher margin products, Dominican leverage; all three.
Peter Enderlin: Yes. We're about two–thirds the way through the first quarter, is there any indication of continuing sales trend so far?
Richard Soloway: We'll let you know at the end of the quarter. We don't give projections early on.
Peter Enderlin: Okay. And then just one financial detail, what are non-current inventories?
Kevin Buchel: Non-current inventories are inventories that are not expected to be used in the next 12 months. As an example, [indiscernible] the components were, let's say, it's an end-of-life component. So you want to buy X number of years of those components, because the manufacturer is not making them anymore, and you want to make sure you have them. So you buy a two-year, a three-year supply, something like that.
Peter Enderlin: I see, okay. Thank you very much.
Kevin Buchel: You're welcome.
Operator: Thank you. [Operator Instructions] And the next question is from Liz Lilly of GAMCO Investors. Please go ahead.
Liz Lilly: Good morning.
Richard Soloway: Hello there.
Liz Lilly: I had to get on another call for a quick second, so I don't know if anybody asked this question. But I wanted, on your prepared comments, you talked about the capitalization of the company, and the cash position, and you've been buying back stock. And you made a comment, Dick, about other shareholder creating activities. I wanted to just explore that a little bit more. Are you talking about possible acquisitions? What is your thought process behind that said comment?
Richard Soloway: There's a whole potpourri of things. It could be acquisitions, it could be dividends, more stock buyback; all these different things. So we're exploring all the possibilities as you rack up the cash. And we're on a great trajectory. So we have to be open to all of these different things.
Liz Lilly: Are you finding product line, small product lines, talking acquisitions that are of interest? Could you talk about valuations of companies in the market place?
Richard Soloway: We're looking at acquisitions. Now, we have somebody working with us on that. It's not exactly a top priority, unless it fits just right into our mix, and as I explained to the gentleman before, that it's got to go down the channels that are dealers could use, it has to be priced right. There has to be some type of payment to the management, not a lump sum, so they keep them very interested in the business and things like that.
Liz Lilly: Okay. And my other question is a follow-on from the prior caller's question about gross margin. So you are now at the 40% level. Do you think that you can sustain that level going forward? I know you've talked about getting it to a higher level, at $100 million revenue. But can you sustain the 40% going forward?
Richard Soloway: 40% is easy for us when we have the volume [ph]. So for this quarter, we had $23 million. It was even better than 40 as you saw. What our job is to do is to do that every quarter. Not just once, every quarter. And we can do that, and we believe the products that we've introduced will get us there. And then we'll sustain 40 all the time. When you can do 40% GP for fourth quarter as well for four times, you wind up having a full year in the 40s. Right now, our full year was 33.5. So what we want to do is have higher GPs throughout the year, and that will lead to a nice GP growth for the full year. And we could do that.
Liz Lilly: And at what level of quarterly revenue, is it 23 million that you need to generate? Is it 22 million to get that 40%?
Kevin Buchel: For us, 20 million is the magic number. Once you go over it, it starts. Just to remind everybody, last year we did 21.5 million, and the GP was 38.5%. This year we did 23 million, the GP was over 40. So the higher that number goes, yes, we're not capped out at the GP we performed this quarter. If we're at 25 million, the GP is probably going to go in 41%-42%.
Liz Lilly: Okay, great. Thank you. Those were all my questions.
Kevin Buchel: [Indiscernible]. Take care.
Liz Lilly: You too.
Operator: Thank you. The next question is from Walter Ramsley of Walrus Partners. Please go ahead.
Walter Ramsley: Oh, thanks; got a couple for questions. Nice quarter, congratulations.
Richard Soloway: Thank you.
Walter Ramsley: As far as the home security business is all by itself, did you just review how the year went in that segment?
Richard Soloway: The radios which generate recurring revenue are growing very nicely. We talked about the percentages year-over-year. And we have a lot of new radio types that we're going to be introducing this month, and going forward, which get us different parts of the alarm business. As an example, we're talking about the fire business, which is a big business, because copper lines are also going away in the fire business. So we expect to get a nice boost from our fire radios, plus the recurring revenue on a fire radio is more than the recurring revenue on a household alarm system. And we have other radios that are coming out thereafter, so it's a nice trajectory for us. The connected home products are being adopted as the population -- the younger parts of the population want to control everything on their smartphone. Our iBridge has been touted as the best connected home product in the market. It has tremendous versatility, and great range, and it really works well with all the apps. So we have very high hopes for that. It has a menu of recurring revenue services that the dealers subscribe to. And as they put more and more of the services in place, we get more and more recurring revenue. So it's a very good scenario.
Walter Ramsley: So overall would you say that home security business grew the same rate as the commercial?
Richard Soloway: I don't break it down that way, but it was a great contributor to the overall volume.
Walter Ramsley: Okay. Another question about the tax rate, I mean, it was pretty low. Can you just explain how you managed that?
Kevin Buchel: Well, because of our tax structure with the DR, et cetera, when you make a lot of money, believe it or not, the tax rate goes down. That's just the way it works with [indiscernible] of the DR. So earlier in the year, and when we weren't making as much money, our rate was higher. It usually comes to a 10% to 15% when it's all said and done. We are doing certain things that maybe improve it. For somebody who is doing modeling out there, I would stay with the 10% to 15%.
Walter Ramsley: Okay. And the higher Ed business, were there any installs in the current quarter, the first quarter of fiscal '16?
Richard Soloway: We have more than 500 schools of all different types, both K through 12, and higher Ed schools. And we have our sales team beating the bushes, and meeting with the management of schools, and the architects of the schools, and the different family groups that are with the K-12 and explain what we do, and more and more people are buying into it. We also have something we've put out called the SAVI report, where we are trying to get the schools. And we've written this report generated by us, we are trying to get it sent all around the country through educational tier of business where -- tell schools how to protect themselves from active shooters, how to build the proper type of lobby and bulletproof glass, what type of access control and LocDown systems you should have. There is no unified regulation for schools. There is like after 9/11 the TSA was created and they regulate passengers to go on to plane. But nothing has been done since Sandy Hook, even though there is an active shooting that takes place near a school or in a school every 13 days. So our SAVI report is something that we're promoting because we want the schools to get armed and protected, and we believe that they get insurance discount. So there is a lot of interest in this. And we expect to sell additional products to protect the schools and the children.
Walter Ramsley: Okay. And then, just one last question, the macroeconomic situation in America, is that sufficient to allow the company to meet its growth targets? A - Kevin Buchel The world is very unstable place, and we have all these situations in schools and shopping malls, and burglaries and things like that. So we're doing our things, showing the best products out there. We are trying to create additional products with recurring revenue that our dealers can use, and the industry seems to be pretty busy right now.
Walter Ramsley: Okay. Well, thanks, Dick. Thanks, Kevin. Nice talking to you again. A - Richard Soloway Take care, Walter. A - Kevin Buchel Take care. Bye-bye.
Operator: Thank you. The next question is from Scott Billeadeau of Walrus Partners. Please go ahead.
Scott Billeadeau: Hi, there. I have just one question to follow-up from Walter, more on the inventory side; could you may be talk about as you get more recurring revenue from radios and so forth, what will the trend be of inventory and your turns? Should we start to see turns improve at some point? Just trying to figure out what kind of -- as you go forward with that model, how should we look at modeling the inventory and continuing to build a little inventory, or should that start to level out?
Kevin Buchel: It should improve, Scott, because no inventory required for those sales. So let's say we had $10 million of recurring revenue with no inventory. So yes, you are going to see the status improve as we go forward. And we are always working to reduce inventory levels to begin with. So between that and more recurring revenue, the trend should be towards lower inventory level. That's always the goal of ours throughout the year.
Scott Billeadeau: And is there -- can you characterize inventory, how much would be electronic versus how much would be more kind of legacy lock business [indiscernible] maybe characterize what that inventory is? A - Richard Soloway Well, we really don't break it down that way, but the electronics with the microprocessors, with the circuit boards and the components are a predominant part, I would say, in the intrusion business and locking business. In some of the architectural locking, it's more mechanical. So there is a lot of metal parts in that. So we haven't really broken it down.
Scott Billeadeau: Great. All right. I don't have too much else. Good quarter. Thanks. A - Kevin Buchel Thank you. A - Richard Soloway Welcome.
Operator: Thank you. The next question is from Rick Fetterman of Fetterman Investments. Please go ahead.
Rick Fetterman: Good morning. Great quarter; and I had just one question regarding the recurring revenue. You had said, Kevin, previously that when the recurring revenues got to, I believe it's 10% of total revenue that you'll be breaking it out as a separate item. Are we likely to get there in fiscal '16? A - Kevin Buchel We are getting closer, Rick. I don't want to predict it. If it's not '16, we think it would be for sure by '17.
Rick Fetterman: Okay, fair enough. That was the only question I had. Everything else has been answered. Thank you very much. A - Kevin Buchel Thank you.
Richard Soloway: You're welcome.
Operator: Thank you. The next question is from Leon Semonian, a Private Investor. Please go ahead.
Leon Semonian: The stock purchase you've been making, can I presume that they're held in treasury as treasury stock and not retired? A - Kevin Buchel Right, treasury. Exactly.
Leon Semonian: Right. Can I ask how many shares you have now in the treasury? A - Kevin Buchel Well, we brought back to 400,000, right, 480,000 and what do we have now? I don't know that, both handout look -- we've done this before. Let's see. We have 2,083,000 in the treasury right now.
Leon Semonian: 2,083,000, okay, that's very good. By the way, compared to other companies, I don't stock and you people never disappoint me as others do. Congratulations. A - Kevin Buchel Thank you.
Leon Semonian: In decades passed and notice I said, decades passed we've been stocked. Stockholder that long, you used to pay almost on the yearly basis when you were a smaller company stock dividends. If you are the fact I consider the shares outstanding now, and it's extremely tensed considering 26% is held by institutions, it's a -- for many people or institutions, it might be a difficult stock to buy in decent quantities. Is there a chance you could consider to get more stock out in the public hands? The stock dividends, and I know that you can use this [indiscernible] which would be the ideal thing to do to use it to make acquisitions.
Kevin Buchel: Right.
Leon Semonian: Do you get my point, as I say, I'm still an active buyer of the stock and it can't be sometimes difficult to buy as I had a problem last week? Company kept racing the bid every time I raised a bid. They immediately raised it up higher. And which is okay, but then it makes it sometimes difficult to try to bid in the purchase in a schedule.
Kevin Buchel: Well, we bought over a period about six months about 500,000 shares and if you have the patience you can get the shares. So that's our experience. Over the years, we have to split the stock. I think we did one 10% stock dividend over the years; so all those are possibilities going forward.
Leon Semonian: Thank you, you've answered my question.
Kevin Buchel: Thank you.
Richard Soloway: Thank you, Leon.
Leon Semonian: Yes.
Operator: Thank you. I'll now turn the conference back over to management for any closing comments. Richard Soloway Thanks to everyone for participating in today's conference call. As always, if you have any further questions please feel free to call KCSA, Kevin, or me. We thank you for your interest and support, and we look forward to speaking to all of you again in a few months to discuss NAPCO's fiscal 2016 first quarter results. Thanks a lot, and have a great day everybody.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. And thank you for your participation.